Christopher O’Reilly: [Foreign Language] Let me start, I’d like to remind everyone that we’ll be discussing forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those discussed today. The factors that could cause our actual results to differ materially are discussed in our most recent Form 20-F and other SEC filings. Please also refer to the important notice on Page 2 of the presentation regarding forward-looking statements and our non-IFRS financial measures, which we will also discuss during this call. Definitions of our non-IFRS measures and reconciliations with the comparable IFRS financial measures included in the appendix of the presentation, please refer to Page 2 as well for important notices. We will begin the call. First of all, we would like to invite our CEO, Christophe Weber to comment.
Christophe Weber: Thank you, Chris. Hello, everyone, and thank you for joining us. As you might have seen from our press release, today marks an important announcement regarding our Q3 results. Milano will speak to that, and my retirement from Takeda and succession. After 12 fulfilling years with Takeda, the Board and I have agreed on June 2026 as a date of my retirement from Takeda. I will no longer be on the Board of Takeda after June 2026. I’m very pleased to announce that the Board has selected Julie Kim, President of our U.S. business unit as my successor. Julie will be proposed as a new candidate for the Board at the ordinary General Meeting of Shareholders in June ‘26, and will then be nominated as President and CEO. The unanimous decision to select Julie was made after a very robust multiyear process, assessing both internal and external candidates. To ensure a smooth transition, we are sharing this decision now, the timing aligned with our exciting growth outlook on potential drug launches which may start as early as the second half of 2026. It will allow us to select and nominate Julie’s successor, obviously, a key role as the U.S. represents 50% of our revenue. This time frame also aligned with anticipated retirement of several external independent directors, allowing both Julie and me to be actively involved in the Board member selection process. Now I wanted to share some words about Julie. Julie joined the Takeda executive team in 2019. She has been the President of the U.S. Business Unit and U.S. Country Head for the past 3 years. Prior to that, Julie led our plasma-derived therapy business unit. With over 30 years of health care experience, Julie is uniquely qualified for this role. The Board and I have absolute confidence in the Julie capabilities and leadership qualities. She embodies our corporate values, ensuring decisions are patient-first, inclusive and thoughtful. Importantly, our commitment to Takeda’s purpose is unwavering. I have witnessed firsthand that she also has the right character and it to lead a complex global company like Takeda. For now, nothing changed. We are focused on advancing our promising late-stage pipeline and preparing for future launches. I couldn’t be more excited about what lies ahead for Takeda. Back to you, Chris.
Christopher O’Reilly : Now we would like to start the presentation from our CFO, Milano Furuta and this will be followed by Q&A session.
Milano Furuta: Thank you, Chris. Hello, everyone. This is Milano Furuta speaking. It’s my pleasure to give an update on Takeda’s Q3 results for FY 2024. The positive momentum of our portfolio has continued into quarter 3 with year-to-date revenue growth of 4.5% at constant exchange rate or CER, driven by our Growth & Launch products, which grew by 14.6% at CER. In addition to top line growth, we also delivered margin improvements with 28.5% core operating profit margin, an increase of 1.6 percentage points. This reflects the strength of our Growth & Launch products, slower-than-anticipated VYVANSE generic erosion and OpEx savings from the efficiency program we initiated in May 2024. We are also very excited about our late-stage pipeline. This month, we completed the licensing agreement for elritercept, a late-stage potential best-in-class oncology program. And as we introduced at our R&D Day in December, 2025 will be an important tier for our pipeline with 3 Phase III data readouts expected this calendar year. with seretide in PossemiaVera, oveporexton [indiscernible] and tafocitinib in psoriasis. Based on our positive business momentum, we are raising our full management guidance again this quarter and now expect revenue core operating profit and copy margin growth this year. And with the extra cash flow generated from this upside, we also plan to initiate a share buyback of up to JPY 100 billion. Slide 4 summarizes our financial results for the first 9 months of FY ‘24. Revenue was over JPY 3.5 trillion, an increase of 9.8% versus prior year or a 4.5% growth at CER. Core operating profit reached JPY 1 trillion year-on-year increase of 16.3% or 10.1% at CER. Reported operating profit was JPY 417.5 billion, growing at 86%. Core EPS and reported EPS were JPY 443 and JPY 134, respectively. Operating cash flow was JPY 835 billion, an increase of [ 90.8% ] year-on-year, reflecting profit growth, lower cash taxes and smaller increase of working capital. Adjusted free cash flow was JPY 568.3 billion. Slide 5 shows a breakdown of our key business areas and the Growth & Launch products, which are driving our performance. These products represent 47% of total revenue and grew by 14.6% at CER year-to-date. Within GI, ENTYVIO growth was 6.6% at CER. Although underlying demand remains strong and in line with our plan, the growth rate was impacted by 2 specific factors. First, there was a higher baseline for Q3 growth due to shipment timing last year. On top of that, we booked a gross to net adjustment in Q3 this year of approximately USD 50 million. This adjustment was a correction of our past statutory government price calculations that had accumulated over 10 quarters since mid-2022. If we exclude the impact of shipment timing and this gross to net adjustments, year-to-date ENTYVIO growth would have been 9.4% at CER. Next, rare disease, where TAKHZYRO continues to lead the HAE prophylaxis market, delivering 16.4% growth at CER. [ADZYNMA] also continued their strong launch momentum. Within plasma-derived therapies, immunoglobulin and albumin grew by 11.9% and 2.2%, respectively. For [indiscernible], on top of our plan and temporary shutdown of production lines, we also observed the cost of containment measures in China, which is influencing the growth rate. In Oncology, Takeda is expanding very well. Most of the revenue is currently from the U.S. but we recently launched in Japan, and we are making progress with approvals and reimbursement in Europe. In Vaccines, Kudanga is now available in 27 countries, and we see strong global demand in both endemic and non-endemic markets. We have sold over 10 million doses since launch in 2022, and we remain focused on further expanding access to this important vaccines. From Slide 6, I’ll explain more about year-on-year growth dynamics. First, a revenue growth. Our Growth & Launch products more than offset loss of exclusivity impact mainly finance and XL in the U.S. and Azilva in Japan. In addition, net positive growth in other brands, such as [indiscernible] ADCETRIS and Iclusig contributed to a 4.5% revenue growth at CER. The depreciation of the yen versus major currencies contributed JPY 171.9 billion, resulting in 9.8% growth on actual FX basis. Slide 7 shows a year-on-year bridge for core operating profit. There was a positive gross profit contribution from revenue dynamics, partially offset by a JPY 29.9 billion adjustment due to implementation of the accounting process to recognize accumulated FX impact of inventories. Moving to OpEx we had a year-on-year reduction in spend at CER with lower R&D expenses, primarily due to the termination of several programs during our pipeline prioritization at the end of FY ‘23. We are also starting to see the benefits of our efficiency program on OpEx. Overall, core operating profit grew by 10.1% at CER or 16.3%, including the benefit from FX. Next, reported operating profit. In addition to core growth, the main driver of the 86% increase was a lower impairment costs compared to the last year. Restructuring costs primarily related to the efficiency program or JPY 107.4 billion, on track with our plan. Next, our updated outlook for FY ‘24. We are prograding management guidance. Revenue and core operating profit are both expected to increase at low single-digit presentation. This is a remarkable change from our initial outlook for revenue and the core OP decline this year. Core EPS guidance has also improved to flat to slightly declining at CER. Updated forecast is now JPY 4.59 trillion of revenue, JPY 1.15 trillion of core operating profit and JPY 507 of core EPS. It means our core OP margin is now expected to be 25.1%, an increase over last year. This also reflects our updated currency assumptions for the year. Now with JPY 153 to the U.S. dollar, our assumption for the euro is unchanged. On a reported basis, we forecast operating profit to be JPY 344 billion and reported EPS to be JPY 75. We’re also raising our free cash flow forecast range to JPY 550 billion to JPY 650 billion. This is due to the uplift in core OP and expected proceeds as a part of the upcoming sale of Takeda Teva, our joint venture in Japan. With this performance and cash flow, we have decided to implement a share buyback of up to JPY 100 billion. Slide 10 shows the moving parts in our credit forecast. We are upgrading revenue by JPY 110 billion, mainly reflecting year-to-date performance versus the previous forecast. Based on year-to-date trends, we expect guidance upside of around JPY 40 billion versus our prior forecast. We also expect a net positive impact from the rest of the portfolio. FX is also a benefit to our revised revenue forecast. For core OP, the majority of the JPY 100 billion increase is driven by product performance and R&D savings, partially offset by the accounting change impact to cost of goods that was not included in our prior forecast. Of the reduction in R&D expense forecast, approximately half is due to post-trial access cost for TAK-611 and TAK-609 previously expected as R&D expense, but now in other operating expenses. The remaining benefit is due to FC&C savings. This brings our Q3 earnings presentation to an end, and we would like to welcome your questions. Thank you. the U.S.
A - Christopher O’Reilly: Now we would like to entertain questions from you. Christophe, Milano and R&D President, Andy Plump will be joining in this session. [Operator Instructions] The first is from Jefferies, Mr. Baker.
Stephen Barker : Steve Barker from Jefferies. So my question is around some of the accounting issues. So you have a negative impact on your forecast because you -- I just want to understand that a little bit more. So you’re devaluating the yen-denominated value of inventory. So that’s going to boost your COGS. And then I also -- there was the R&D question. Is that going to be -- is that a one-off where you -- is it related to specific clinical trials and we won’t expect to see that increase in other expenses going forward? Yes. So 2 accounting questions, please.
Christopher O’Reilly: Okay. Thank you, Steve. Milano, would you like to answer those questions?
Milano Furuta: Steve, thank you for the questions. So the first one is COGS one. So it’s a little bit technical, so bear with me. So as you know, there is in the intercompany transactions, we’re going to have some internal markups. And then within -- in the consolidation accounting process, there is a process of eliminating the markups. Sometimes due to the different functional currencies and high-volume transactions, this kind of adjusting accounting like accounts will be used to appropriately reflect our inventories. And then these accounts have been accumulated with -- we believe this is largely due to the FX impact in the past movement. And then this time, we decided to implement an accounting process to recognize this accumulated foreign currency impact of the inventories and then as a kind of onetime recognition of about JPY 26 billion for the past ones. And then for this fiscal quarter 3, like about JPY 39 or sorry, JPY 3.9 billion of the recognition. That’s a kind of combination of the recognition of the FX impact in the inventories.
Stephen Barker : Right. So it’s really a one-off.
Milano Furuta: Yes. But we are now introducing this -- the process of recognizing this FX impact kind of automatically, like systematically through the COGS, like amortization. So it’s going to be -- it will not be this big amount. Actually, we are recognizing like a 2 years equivalent amount. So this will be much smaller amount, will be recognized kind of regularly throughout the quarters.
Stephen Barker : Right. It won’t build up anymore.
Milano Furuta: No. And for 611 -- the 609, this is -- these programs were -- we had decided to contaminate or stop the development, the programs based on the clinical trial results. But based on a patient request, we decided to offer access to these molecules to the patients who wants to have kind of post-trial access. So then we -- with these decisions, we made an accrual for this a post-trial access cost, which booked in Q3, which is almost like JPY 16 billion, which we booked in other operating expense. So it’s kind of one-off the onetime for this program.
Stephen Barker: Understood. And a related question, could you help me understand the ENTYVIO issue, so gross to net true-up adjustment? I don’t understand what that is.
Milano Furuta: Yes. So there is a gross to net adjustment in the U.S. market, right? And then that’s going to be the referred to especially the government pricing. And there is some -- we identified some miscalculation in the past 10 quarters. And all these things it’s not material. The accumulated number is about USD 50 million over the more than the 2 years. But we identified this kind of miscalculation. So we are now addressing or crafting this kind of variances and then we are booking as a kind of negative to the revenue.
Christopher O’Reilly: Citi, Yamaguchi San.
Hidemaru Yamaguchi : So two questions from Yamaguchi from Citi. The first question is regarding the management change. And my sense was the -- for me, at least it sounds like you’re trying to do the management up until the ENTYVIO [indiscernible], which is around 2030. And -- but you decided to change the management next year. Is there any kind of trigger from the fundamentals of the company is concerned? So can you tell me why now? I mean, next year, but can you tell me the kind of trigger point you think about this time? That’s the first question. And the second question is that this year’s earnings is getting stronger and stronger because of the residual buyback and also currency. But at the same time, it does mean that next fiscal year hurdle is getting a little bit higher. Can you give me some -- I know you don’t have any guidance at the moment, but can you give me what’s the pros and cons for next fiscal year starting for next April? And is that OP wise, it is flattish or slight decline or it depends on a lot of factors, but can you give me what do you see at the moment for the next fiscal year’s trend as far as sales and operating profit is concerned.
Christopher O’Reilly: Thank you, Yamaguchi-san. The first question on the rationale behind the management change and second on outlook for 2025. So Christophe, would you like to take those questions?
Christophe Weber: Yes. Thank you very much, Yamaguchi-san. On the management change, we feel that this is a good timing. In 2026, I will have been 12 years, which is quite a long period. So 2032 will not have been impossible, but it would have been very, very long. But it’s also a good window now because we are at the end of the VYVANSE impact actually. I’ll come back to that in your second question. And we are before the wave of new product launch. You don’t want to make management change during a new product launch. You want to do that before. And that’s why we are also announcing now with this transition period that will give us time to find and select the successor of Julie who will be in place and with a more stable leadership before we launch this product in the U.S. It also coincides with some change that will happen at our Board. We do have 10 years tenure limit for our external directors. So there will be some rotation happening in 2026. And we feel it’s good to have the future Board and the future CEO in a way synchronized. So that’s also another consideration that we discussed, and that’s why we decided for June 2026. On the second question, Ymaguchi-san, of course, the upside, 40% of the upside is VYVANSE, but 60% is non-VYVANSE. So we shouldn’t forget that we have a good dynamic with our Growth & Launch product. Obviously, VYVANSE is a big upside this year. The residual impact of VYVANSE in next year will be more limited. If you look at the generic penetration today, it’s 65% of the molecule. So even though we had some upside, the generic penetration has happened. And today, we are at 65%. So we have not reached the bottom, but we are getting close to it. So that’s why we feel confident that next year will be a growth year in revenue and bottom line. Why? Because once -- yet, we will see some VYVANSE impact, but it will be a residual impact, and we expect our Growth & Launch product to continue to grow in the future.
Christopher O’Reilly: We’d like to take the next question from TD Cowen, Mike Nedelcovych.
Mike Nedelcovych : I have two, both on the topic of zasocitinib Phase III psoriasis program. So first, when we see the first readout, what would you define as success or put another way, what result would make you feel more confident in your head-to-head ducravasitinib trial? And what result might make you feel a little more concerned? Just as an example, should we focus on PAS 75, the primary endpoint or would you urge us to scrutinize PAD-100? That’s my first question. And then my second question is on timing. One of zasocitinib’s Phase III psoriasis trials LATITUDE-002 is actually a couple of months past its primary completion date on clinicaltrials.gov. Should we take this to mean that the 16-week primary endpoint has been recorded? And if so, do you have data in-house? Or do you remain blinded until the longer-term endpoints readout?
Christopher O’Reilly: Thank you, Mike. Andy, would you like to take those 2 questions, please?
Andy Plump : Sure, Chris. And actually maybe Christophe can also provide some thoughts in terms of the overall profile of zasocitinib in what we would consider I’ve differentiated. So Mike, let me start with your second question first, which is timing. So as we’ve mentioned, as of November of last year, we’ve completed enrollment of the 2 primary Phase III studies. These are the pivotal and registration-enabling studies with primeless as a comparator. As you mentioned, the primary endpoint is a 16-week endpoint but the studies are completely blinded until week 52 for one of the studies in week 60 for the second study. And so that’s ensured that we maintain the full integrity of these studies that we have a 1-year safety database. So the direct answer to your question is that we don’t have data in-house, and we’re not planning an interim analysis. And quite excited about the speed at which we’ve enrolled these studies, and we’re looking forward to seeing data at the end of the year. . Before I hand it over to Christophe, I’ll mention that the primary endpoint for the study is PASI-75 and there are historical reasons why we’ve used 75 as the primary endpoint. but the study is very well powered to see benefits on one of the key secondary endpoints and the one that we’re most enthusiastic about will be PASI100. There’s been a trend in psoriasis, particularly driven by some of the effications parenteral agents, subcu and IV agents, where patients are now really focused on clear skin, and that’s where we really see our clear advantage. Christophe, I’ll hand it back to you if you have additional comments.
Christophe Weber: Yes. Thank you, Andy. Thank you, Mike. Our goal with zasocitinib is to redefine what an overall product can do, again, psoriasis in terms of efficacy and safety. So we will look at significant efficacy whether it is 100 or 75 compared to what overall have been able to deliver in the past and being much closer to a biological efficacy. And that’s what we believe will redefine the overall segment and the role of overall product in the treatment of psoriasis. I think that’s really our maintain and that’s what we are looking for when we look at the result of the study.
Christopher O’Reilly: Moving on to next question. Nomura Securities, Matsubara-san.
Hiroyuki Matsubara : I have two questions. First question is about ENTYVIO. Compared to the previous quarter, growth of ENTYVIO is not very clear. I don’t think it’s growing. Is this because of the holidays pushing down the shipment? Or is it due to the competitive environment changing? That’s my question. . The second question, sorry, is about the CEO. I understand you have thought about the timing of switching to the new CEO. Now under the new CEO, what do you expect to happen. I understand that Julie has experience in business in the United States and in the [indiscernible]. So those aspects of the company may grow. But what is the growth strategy under her? What do you expect to do for Takeda?
Christopher O’Reilly: Thank you [indiscernible] the questions. So the first one was on ENTYVIO quarter-on-quarter growth. Is there anything of note here in terms of competitive dynamics changes? And then the second question on expectations for Julie as the incoming CEO. So I’d like to ask Christophe to answer those questions, please.
Christophe Weber: Thank you for the question. For ENTYVIO, I think you need to take out the one-off -- take that Milano mentioned, phasing up shipment. So Q3 last year was very strong for phasing issue or phasing pattern. And then the one-off adjustment that we mentioned on the gross to net price ASP. If you take that out, our year-to-date growth is 9.2% and our quarter growth is much higher, a bit lower than Q2. And we do believe that indeed, that there has been some effect with year-end, which was especially long this year as a break between Christmas and New Year Eve. But I think it’s really important to look at the year-to-date. If you take out these 2 one-offs, we are at a bit more than 9%. So a bit short of our 11% new guidance and forecast, but we’ll see how things are evolving. We are quite pleased with the response that we are seeing on the pen launch. Quarter-to-quarter, we have seen a 30% increase of prescribers, number of prescribers prescribing the drug. And also, our access has improved significantly, but it’s not at the maximum yet. We have a bit more than 70% access at the moment, and we want to reach a 90% plus. So I think [indiscernible] still some work to do there. So overall, the pattern has not changed. ENTYVIO is keeping its leading position, especially in the first-line biological treatment. We have lost some market share in second and third line, but we are growing faster than the market. So we are pleased with the performance. And obviously, as we discussed in the past, the launch of the panel is very much important in the life cycle of ENTYVIO. For your second question, I would just want to reemphasize that Julie will lead our U.S. business until we have a successor joining us, a successor of Julie that will take some time. We will look internally and externally. So no distraction, very much focused on that business. And then once we have a successor for Julie, she will be able to focus on the transition and progressively take the lead. So I think she has been part of the TT since 2019. So she has been extremely involved in our overall strategy direction. She is leading our U.S. business today, which is really -- which is 50% of our total revenue. So directionally, she has been very much in favor and supportive of our strategy. So don’t expect major change of direction. But she will respond ourself to a question like that from 2026 onwards. I think that’s the way to see the timing.
Christopher O’Reilly: So for the next question, I’d like to call on Tony Ren from Macquarie.
Tony Ren : My first question is again on ENTYVIO the gross to net true-up adjustment. I think I heard Milano saying that it was due to selling ENTYVIO to the U.S. government over the last 10 quarters. I just want to confirm that I heard it correctly. With that, would you say that the 11% CER growth rate you initially guided would not be possible. So that is on ENTYVIO. The other question is on the U.S. IRA price negotiation. So Amgen’s Otezla is now officially included in the 15 drugs for the 2025 pricing negotiation. So does -- how does that affect your clinical development or commercialization plans for zasocitinib?
Christopher O’Reilly: Thank you, Tony. So the first question on some more detail on the gross to net for ENTYVIO and any impact on the 11% full year that we previously disclosed for ENTYVIO. So Milano, if you’d like to follow up on that one. And then the second question on the IRA, any impact on zasocitinib because of OTEZLA’s inclusion. I’d like to ask Christophe to comment on that one, please.
Milano Furuta: Tony, thank you. So this -- again, this adjustment is related to our like a gross to net calculation like substudy government pricing calculations and then we are sharing this information with [indiscernible] in the U.S. But this impact is, unfortunately, we didn’t -- of course, we didn’t have forecasted or like we didn’t -- we had not anticipated when we developed this guidance of 11%. So the -- if the by this amount, maybe it might be a little bit challenging to reach 11%. But basically, if we take out this impact, overall, we are in line with our internal plan.
Christophe Weber: And for the IRA, yes, Otezla is among the product selected in this second wave. It reinforced -- it doesn’t change our clinical development plan. It just reinforced the fact that we believe that we will have a very different profile in terms of efficacy and therefore, we’ll be able to really differentiate ourselves from previous oral product. The fact that it is in the IRA, it doesn’t change our strategy. It just reinforced the fact that we need to be differentiated, and we believe we will be in terms of efficacy and safety. Not only, by the way, against a product like Otezla, but also, as you mentioned earlier, against [indiscernible] because we are doing this head-to-head study against Ducra later on.
Operator: Moving on to the next question. Morgan Stanley, Muraoka-san.
Shinichiro Muraoka : My first question is about next fiscal year, which is coming in 3 months. How do you see the next fiscal year? 100 to 250 basis point margin improvement that you have always talked about. Do you think you can sustain that for next fiscal year, can we expect that to happen? And another question is what about dividends? This year, you made upward revision twice, but the dividend was the same. It’s still the same. But if the OP margin improves in the next fiscal year, based on our progressive policy, do you think the dividend could increase? Or can we be confident that the dividend will increase? That’s my first question. And the second question is about ENTYVIO biosimilar. Alvotech Teva started a Phase III program recently, and it is becoming more crowded. It seems timing-wise, you always maintain that you’ll be okay up until 2030. Maybe that is still true. But really focus on the timing. Are you going to be okay up until 2030 or 2032 in terms of biosimilar entry timing. Can we please -- can you help me organize my thoughts on this?
Christopher O’Reilly: Just a question on outlook for margin improvement. -- in 2025. I’d like to -- and also thoughts around the dividend for next year. I’d like to ask Milano to comment on that? And then the second question on biosimilar assumptions for ENTYVIO, if there’s any change around entrance timing. I’d like to ask Christophe to comment on that.
Milano Furuta: Good evening, Muraoka-san, thank you for your question. First with regard To OP margin 100 to 250 basis points improvement and this is the basic thinking. And 23% the is base number that we were thinking about for this fiscal year. However, based on the latest outlook 25.1% landing for OP margin is expected, which means that we are now putting together the budget for next fiscal year. So we will take a close look at that, and we would like to make an official announcement in May. Core OP margin is something that we always want to improve. This is always the policy of the management. So we will be finalizing the numbers in order to help improve that. [indiscernible] dividend, payment is different from the share buyback that we have announced recently. We want to do something that is stable for long term. and also progressive sustaining the level or increasing, if possible. It’s very difficult to comment at this point in time. But I don’t think you have to worry about reducing of the dividend at the very least. Thank you. Could you please respond to the question about ENTYVIO.
Christophe Weber: Sure, sure. Thank you very Muraoka-san, It’s Christoph. Regarding ENTYVIO, there is more -- we do see more activity of development of biosimilar for sure. But as far as we see for serious market, we still believe that it’s -- that biosimilar entry will be between 2030 and 2032. We have quite a strong set of patent expiry in 2032. So we’ll see what happened when there is a litigation around this patent. But just doing the development plus the litigation process takes a lot of time. So if you are optimistic about our strength of our patent, you take an assumption of 2032. If you are not optimistic, you take an assumption of 2030 plus between the two. I think that always has been how we describe the situation. We believe that it’s 2032 because we believe into our patent set, but might not. So for now, no change in our solution regarding biosimilar entry, especially in the U.S. In Europe, it’s a slightly different legal system, depending on the country. But for U.S., it’s -- our position is very clear.
Operator: Next question from JPMorgan, Wakao-san.
Seiji Wakao : Wakao from JPMorgan. Have two questions. First about share buyback. So could you explain the background behind the decision to implement the share buyback this time? Is it simply because the share price was very low. What is the message of this decision? And could you elaborate on the -- could you tell me the timing of Phase III data readout for TAK-861 and TAK-279, [indiscernible].
Christopher O’Reilly: Thank you Wakao-san. So the first question on thinking behind the buyback, I’d like to ask Milano to comment on that. And then the second question, Andy, any further detail you can provide on timing of Phase III for TAK-861 and TAK-279? .
Milano Furuta: Thank you, Wakao-san. So we updated. If you remember, we updated the capital allocation policy 2 years ago. And we set the framework that within -- given that we keep the investment grade credit rating, basically, the 2 primary pillars for our capital allocation is investment for growth and then show the return. So with the current performance this year, we are generating more cash flow than we originally had planned. And we have been allocating this cash and then as you have seen, we have done a few [indiscernible] deals very selectively. And then we are kind of adding in the pipeline, and we are now focusing on developing this in the late-stage pipeline. And then it comes to the shareholder return. And with this, the upside, we thought this is the good timing or appropriate to do these share buybacks allocate almost half of the incremental cash flow in terms of the upgrade of the guidance. So the -- we think it’s appropriate to do that according to the capital allocation policy.
Andy Plump : Wakao-san, this is Andy on timing of each of the studies. So as you know, from the R&D Day, we have 3 major Phase III readouts coming this year for our tied oveporexton and zasocitinib. We haven’t disclosed specific timing for those studies for oveporexton for risperatide, we’re expecting top line data this quarter. So we’re very excited about that. For oveporexton, we have 2 ongoing Phase III studies in narcolepsy, and enrollment for each of those studies has exceeded our forecast and while we haven’t given exact dates, we’re hoping to have data mid-2025. And then for zasocitinib, we have 2 primary registration-enabling studies. As I mentioned earlier, those have completed screening and enrollment as of November of last year. We have a third study that’s a study to garner additional safety, that study continues to enroll. So you can kind of do the math on what we would expect either from the first 2 pivotal studies. And then as Christophe alluded to earlier, we’ll be starting a head-to-head study against to cravacitinib sometime midyear. That study won’t be part of our original filing. Our hope is to have data from that study available to support the launch.
Operator: Moving on to the next question, SMBC Nikko, Wada-san.
Hiroshi Wada : Just one question. IRA on price negotiation. 2028, I think ENTYVIO might be included. What is your read on the situation? Do you think ENTYVIO will be included.
Christopher O’Reilly: The possibility of ENTYVIO included in IRA in 2028. Christophe, if you’d like to comment on that?
Christophe Weber: Wada-san, it’s a possibility. That’s why actually, we kept our peak range between 7.509. Initially, we had this range because it was -- we are not sure that we will launch a pen, you know that we had a CRL, et cetera, but we land a pen. But then we kept that range to include the possibility of an IRA inclusion in the future. So it’s a possibility that we have in mind, yes.
Operator: Next Hashiguchi-san from Daiwa Securities.
Kazuaki Hashiguchi : Hashiguchi speaking. In the U.S, and the business environment changes and how that impacts your business. I would like to have your idea not limited to pharma industry, but in various industry teams some devices recently shown from various players. And by that kind of change, how that could impact your business, including opportunities and risks. For example, PBM may be redesigned and that could impact your pricing? What’s about that?
Christopher O’Reilly: So Christophe, would you like to answer that question on the potential impact of changes in the U.S. environment.
Christophe Weber: Yes. Hashiguchi, yes, I mean, there will be some changes in the U.S. environment. Health care is one of the topic that for any administration will focus on. The Trump administration just announced that they are committed to carry on with IRA. That’s one point. And therefore, this pricing system will carry on for now. It might be adjusted in the future, we will see that that’s something to take into consideration. On the other hand, keep in mind that as part of the IRA, there was also for Medicare patients and out-of-pocket cap, which is a positive in -- for many diseases, but especially oncology. So there are plus and minus, if you like, . We believe that the U.S. country will remain absolutely vital for innovative company and R&D-driven company like Takeda. This is the country where new innovative medicine have the fastest launch. And this is where we have the highest level of innovation recognition and reward for innovation, it’s very important, especially as we are contemplating the launch of our new product. But yes, the environment is changing like in other countries, Another element that we are also watching are more geopolitics. Will there be tariff, for example, impacting pharmaceutical medicines. It could be. And obviously, at Takeda, we have a manufacturing network focused on U.S., Europe, Singapore and Japan. So it has been -- it’s a global network, which was built on the premise of free trade. If there are more forces against free trade, [indiscernible]
Operator: Sogi-san from Bernstein.
Miki Sogi: Can you hear me? This is Miki from Bernstein.
Christopher O’Reilly: Yes, we can hear you.
Miki Sogi: I have two questions. First of all, ENTYVIO, we recently saw a report saying that the ENTYVIO listing price was increased by 1%. So could you tell me that listing price increase. What is the impact to the [indiscernible] relevant to your actual net sales? And also does it have any consequence in terms of the rebate for government because it’s higher than the -- significantly higher than the inflation rate. So that’s the first question. And the second question is the R&D spending, we understand that R&D spending, despite this the POS trial drug, the cost we moved to the other expense. It’s still -- the spending is seemed to a slower than we had expected. But is it still the plan that you will be spending more on the fourth quarter so that you [indiscernible] the budget that you have shared with us.
Christopher O’Reilly: Thank you, Miki. So the first question on ENTYVIO price increase, I’d like to ask Christophe to comment. And then the second question on the R&D budget and progress towards the full year forecast. Milano, if you could please comment on that.
Christophe Weber: Thank you, Mickey. Yes. This price increase is more a reflection of the rebate mechanism that is happening in the U.S. market in order to be competitive, you need to give rebate, and that’s really the mechanic. So you don’t see this increase on the net price. And government price is calculated on the net price. So I think that’s really the effect of the rebate mechanism. And by the way, this is something we think should be fixed and there is a lot of discussion right now about PBM and rebate. We are voting for this rebate to be replaced by so mechanism. .
Milano Furuta: Thank you for the question about now on the spending. So the -- just to be clear, we are not seeing any slowness in operation. Actually, we’re accelerating. We are gearing up the R&D operations development. We are driving these -- the development with a very like operational efficiency mindset since we have had efficiency program, since the beginning of this fiscal year. And in the quarter -- fourth quarter, we always have that little bit seasonality increase in R&D spending in the fourth quarter. But on top of that, we are expecting -- actually, we are starting 2 Phase III programs for the [indiscernible] PSA and the mezagitamab for the ITP. So actually with these 2 new programs or clinical trials, we also anticipate gearing up the R&D spend.
Operator: Because of the time constraints, next question will be the last from UBS, Sakai-san.
Fumiyoshi Sakai : Two questions. This is more like a general question for Dr. Prem. IRA has started impacting the industry and likely it remained for some time, and the industry screaming about the squeezing the low-molecule development. Do you think that, that is going to impact your pipeline strategy going forward, especially I’m interested in the [indiscernible] life cycle management extra indication strategy. Can you comment anything interesting on this topic? That’s my first question. The second question is [indiscernible] for service, I must say. But Julie came, you see going to be stationed in Tokyo, is that going to be must condition for her to be appointed as CEO, my second question?
Christopher O’Reilly: Thank you, Sakai-san. The first question to Andy on IRA impact on pipeline strategy, specifically on zasocitinib and then second question to Christophe, on Julie where should be located?
Andy Plump : Thank you very much, Sakai-san. It’s a great question to end the call on. So I mean, I can’t say that IRA won’t affect the R&D strategies across the industry. Of course, it has an effect on R&D strategies. I would say that the strategy that we’ve adopted for our organization Takeda withstands the IRA in the sense that we’ve always focused on innovation and high unmet medical need in everything that we do. I think that in order to be competitive in the world of IRA, those are 2 features that every company will need to focus on innovation and high unmet medical need. With respect to zasocitinib, I would say that yes, IRA has effects, how we strategically approach zasocitinib. This is a molecule with the potential for many indications. Historically, companies might have approached a program like this strategically in a more sequential way. We’re approaching it in a parallel way. As you know, we have 4 ongoing indications today, psoriasis, psoriatic arthritis, ulcerative colitis and Crohn’s disease. And we’re in the process of looking at additional indications. And over the course of the coming months, you’ll hear more of our strategy to expand for zasocitinib.
Christophe Weber: Sakai-san, thanks for your questions. First, I would like to say that I started a few years to be based in Tokyo the majority of the time and in Boston. So I am between these 2 locations, because our global hub in Boston is so important. So I want to stress that out. So my location today is Tokyo and Boston, and Julie is very much committed to also have this Tokyo, Boston location. That’s part of the agreement if you like.
Operator: Thank you for today’s seminar. Thank you very much for your participation in this [part] schedule, and we look forward to your continued support. Thank you.